Operator: Good morning, and welcome to the Celyad Oncology First Half 2021 Earnings Conference Call.  Please note this event is being recorded.  I would like to turn the conference over to Dan Ferry, Managing Director with LifeSci Advisors. Please go ahead.
Dan Ferry: Thank you all for joining us today. Before we begin, I would like to remind everyone that today's event may contain forward-looking statements within the meaning of the applicable securities laws, including the Private Securities Litigation Reform Act of 1995. Forward-looking statements may involve known and unknown risks and uncertainties, which may cause actual results, financial condition, performance or achievements of the company to differ materially from those expressed or implied by such forward-looking statements. A list and description of these risks, uncertainties and other risks can be found in the company's U.S. Securities and Exchange Commission filings and reports, including in its annual report on Form 20-F filed with the SEC on March 24, 2021, and subsequent filings and reports by the company. These forward-looking statements speak only as of the date of this call, and the company's actual results may differ materially from those expressed or implied by these forward-looking statements. The company expressly disclaims any obligation to update any such forward-looking statement made on this call to reflect any change in its expectations with regard thereto or any change in events, conditions or circumstances on which any such statement is based, unless required by law or regulations. Let me now turn the call over to Filippo Petti, Chief Executive Officer of Celyad Oncology. Filippo, the floor is yours.
Filippo Petti: Thank you, Dan, and thank you, everyone, for joining us today for our financial results and operational update call for the first half of 2021. Joining me from the management team is our Chief Scientific Officer, Dr. David Gilham, our Chief Medical Officer, Dr. Charlie Morris; and our Chief Business Officer, Dr. Stephen Rubino. We will start today's call with an operational and clinical update, followed by an overview of the financials and outline the expected key milestones of the company over the next several months. We will then open the line for your questions. Before we get started, I wanted to quickly mention, as many of you are aware, we just held our annual R&D Day approximately 2 weeks ago, during which we provided several announcements and updates around existing and future clinical programs. The feedback we have received regarding our differentiated approach to CAR-T development has been great, and I believe that Celyad Oncology team really captured what makes us a leader in the allogeneic CAR-T space and why we believe our programs and the technology platforms that we are working with are leading the way in developing innovative allogeneic therapies for the treatment of cancer. While we will revisit some of the same themes on today's call, I urge you to listen to the replay of our R&D Day if you didn't participate in the live event. It will offer you more detail on the evolution of our allogeneic programs and just how important and novel our technologies are in driving towards innovative therapies for patients. The replay is available on our Events page on our website. With that said, let's get started with today's call. In the first half of the year, we continued to deliver a steady stream of positive clinical and preclinical data as well as updates from our team on additions and enhancements to our robust capabilities in developing CAR-T candidates. This includes our presentation of encouraging initial results from the first 2 dose levels of our shRNA-based allogeneic CAR-T candidate, CYAD-211 for the treatment of relapsed/refractory multiple myeloma.  Data presented at the European Hematology Association meeting in June helped to establish proof-of-concept that shRNA technology is a novel approach to allogeneic CAR-T development. Data from the IMMUNICY-1 trial showed that CYAD-211 was well tolerated with no evidence of Graft-versus-Host disease, showed initial clinical activity with 2 out of 5 patients achieving a partial response and encouraging cell kinetic data. While I will let Charlie discuss the CYAD-211 results more in a minute, we're especially pleased by these preliminary results, which offer some great insight into the true potential of our broader shRNA platform. And I'm very proud to say that the advancements we're making with our novel approach is redefining the potential of allogeneic CAR-T therapies with the opportunity to drive real-world benefits. In addition, to complement our shRNA platform, we recently introduced our vision for armored CAR-Ts, our armored CAR-Ts are engineered to release cytokine IL-18, providing the opportunity to drive increased potency of our cell therapies by impacting the CAR-T and the local tumor microenvironment, especially important for the treatment of solid tumors. Preclinical work that we've done to date with our first IL-18 armored CAR-T candidate CYAD-203, has been very promising, as David will discuss in a minute. Again, this goes beyond just one candidate for our indications as we believe our ability to armored CAR-T speaks to the potential of our allogeneic platform technology within the framework of our all-in-one vector approach. In short, this is another technology that builds on our platform to offer a great opportunity for differentiated candidates for both solid tumors and hematological malignancies. Let me now stop here, and I'll turn the call over to Dr. David Gilham, our Chief Scientific Officer, to provide more detail. David?
David Gilham: Thank you, Filippo, and thank you, everyone, again, for joining us today. As Filippo I just discussed, in the first part of 2021, we've presented developments that seek to combine our allogeneic technology with optimizing the functionality of the CAR-T through shRNA-targeted gene knockdown and cytokine armory. During our R&D Day, we highlighted our recent efforts, and we believe these new developments provide the opportunity to design increasingly potent next-generation clinical CAR-T candidates. Our current first-generation allogeneic CAR-T therapies include, of course, our peptide allogeneic product, CYAD-101 that combines the TIM peptide with our NKG2D-based CAR-T that is rapidly heading through clinical testing -- into clinical testing sequence with checkpoint inhibition. Our second clinical stage allogeneic CAR-T is CYAD-211, which is our first shRNA allogeneic CAR-T and really plays a critical role in spearheading our shRNA platform development. As Filippo touched on earlier, and Charlie will discuss more in a moment, the initial data for the IMMUNICY-1 study concerning our first 2 clinical cohorts is encouraging. From a platform development perspective, the demonstration of engraftment in the absence of symptoms of Graft-versus-Host disease provides a high level of confidence in the shRNA allogeneic technology, supporting its further development as a platform technology. As we recently announced at the R&D Day, we are working diligently on our first armored allogeneic CAR-T candidates, CYAD-203. CYAD-203 coexpresses the NKG2D receptor, a single shRNA-targeting CD3 zeta as the allogeneic technology and an active form of the cytokine IL-18 for potency. Our interest in IL-18 has been grounded in several publications, including a key publication for one of our scientific advisory board members, showing that CAR-Ts armored with this cytokine demonstrates superior  activity in preclinical models. To this end, we are excited to be developing what we believe to be the first IL-18 armored allogeneic CAR-T cell therapy for the treatment of cancer. IND-enabling studies for CYAD-203 are ongoing and submission of an IND application for the candidate is expected in mid-2022. Beyond CYAD-203 and as discussed at the R&D Day, we see the enormous potential of shRNA to optimize CAR-T cell function and phenotype alongside armoring with IL-18. To this end, we appreciate the importance of a diversified pipeline to exploit these platforms that require bringing new tumor targets into our portfolio. At the R&D Day, we discussed our collaboration with Moffitt Cancer Center to investigate the TAG-72 target. And we will be looking further to diversify our targets using both internal intellectual property and external validated targets. With that, I'll now turn over the call to Charlie Morris, Celyad Oncology's Chief Medical Officer. Charlie?
Charlie Morris: Thank you, David. It's great to have this opportunity to speak with everyone on today's call about the progress we've made in our clinical pipeline over the past year. As David and Filippo have discussed, we're very excited by the data we've generated so far this year. We support our decision to focus our future R&D programs through the prioritization of our allogeneic assets, and we have potential for more from our ongoing studies through the remainder of 2021. Let me start by providing an update on our clinical activities for CYAD-101. Celyad Oncology's first-in-class non-gene edited clinical candidate that co-expresses the NKG2D receptor and the novel TCR inhibitory molecule or TIM, which interferes with native CD3 zeta, reducing the signaling of TCR complex with the aim of protecting from the risk of Graft-versus-Host disease. Our CYAD-101 clinical program is focused on the treatment of microsatellite stable metastatic colorectal cancer, a difficult indication for immunotherapies to date. At the ASCO GI symposium in January, we presented objective response, progression-free survival and overall survival data from the dose escalation segment of the Phase I alloSHRINK trial, including 15 patients who received CYAD-101 following preconditioning with FOLFOX chemotherapy. 2 of the 15 patients showed an objective response. Median PFS was 3.9 months. Median overall survival was 10.6 months. In addition, tumor burden decrease according to RECIST 1.1 criteria, was observed in 8 of 15 patients, including 6 of 9 patients at the highest dose of 1 billion cells per infusion. To our knowledge, CYAD-101 became the first investigational allogeneic CAR-T candidate to generate evidence of clinical activity for the treatment of a solid tumor indication, which is a major challenge in the CAR-T space and one we will continue to work diligently to overcome. Subsequently, we presented initial data from the dose expansion cohort, evaluating CYAD-101 following FOLFIRI preconditioning chemotherapy in refractory late-stage metastatic colorectal cancer patients that showed CYAD-101 was generally well tolerated with no dose-limiting toxicities or evidence of Graft-versus-Host disease. However, cell engraftment was less than had been seen following FOLFOX preconditioning. And while 9 out of 10 evaluable patients showed stable disease at first tumor assessment, there were no objective responses. We continue to investigate the cause of the different findings, but as a result of these findings, further development of CYAD-101 in mCRC will continue using FOLFOX preconditioning rather than FOLFIRI. As we look to the end of the year, we expect to initiate the Phase Ib KEYNOTE-B79 trial in the fourth quarter of 2021. This study will evaluate CYAD-101 following FOLFOX preconditioning chemotherapy followed by Merck's anti-PD-1 therapy KEYTRUDA in refractory mCRC patients with microsatellite-stable mismatch repair-proficient disease. We believe that our CYAD-101 CAR-T cells have the potential for both direct antitumor activity as well as the ability to release the endogenous patient immune response that may further enhance the clinical benefit following treatment with KEYTRUDA. The concept here is that we have shown preclinically that the NKG2D CAR-T cells can convert the tumor microenvironment from an immunosuppressive state to immunostimulatory, which will then provide an environment in which treatment with anti-PD-1 may have the ability to exert its effect even in microsatellite-stable tumors. Now let's turn to CYAD-211, a first-in-class allogeneic CAR-T candidate engineered to co-express a BCMA-targeting chimeric antigen receptor and a single shRNA, which interferes with the expression of the CD3 zeta component of the TCR complex. CYAD-211 is currently being evaluated in the IMMUNICY-1 trial, which is a first-in-human open-label dose escalation study of the safety and antitumor efficacy of a single infusion of CYAD-211 following cyclophosphamide and fludarabine, preconditioning chemotherapy in patients with relapsed or refractory multiple myeloma. The trial seeks to determine the recommended dose of CYAD-211 for the treatment of patients for further development as well as to establish proof-of-concept with shRNA-mediated knockdown can generate allogeneic CAR-T cells in humans without inducing Graft-versus-Host disease. In June, at the European Hematology Association Virtual Congress we presented preliminary data from the dose escalation phase of the IMMUNICY-1 trial showing that treatment with CYAD-211 was generally well tolerated at the first 2 dose levels with no evidence of Graft-versus-Host disease observed. Two partial responses were observed among 5 evaluable patients and cell engraftment to CYAD-211 observed in all patients from dose level 2 at 100 million cells per infusion with evidence of CAR-T cell detectable in all patients enrolled in the first 2 dose cohorts. Just last month, we further updated data from the first patient at dose level 3, which continues to show dose-dependent engraftment to CYAD-211 with no Graft-versus-Host disease reported to date. Enrollment in the trial is ongoing. We plan to explore higher doses of preconditioning regimens in future cohorts. Looking ahead, we expect to report additional data from the study during the second half of 2021. Lastly, let's turn to CYAD-02, our autologous candidate that expresses the NKG2D receptor CAR and incorporates shRNA technology to target the NKG2D ligands MICA and MICB and is currently being evaluated for safety and efficacy in the dose escalation Phase I CYCLE-1 trial for the treatment of relapsed/refractory AML and MDS patients following preconditioning. To date, 11 patients have received treatment with CYAD-02 in the CYCLE-1 trial, including 5 patients at dose level 3. Preliminary data from the dose level 3 cohort shows CYAD-02 has been generally well tolerated to date. One dose-limiting toxicity was reported at dose level 3, a cytokine release syndrome, so grade 4, leading to expansion of that cohort to 6 patients. In addition, the initial clinical activity has been observed, which appears greater than that previously reported from our first generation or autologous NKG2D product, which is consistent with the positive contribution from the shRNA-mediated reduction in MICA and MICB production. Enrollment in the dose level 3 cohort is still ongoing, and we expect additional data for the program by year-end 2021. While we have prioritized our allogeneic programs over the past year, we continue to believe there's a high unmet need for patients with relapsed refractory AML and MDS, and we plan to further assess the CYAD-02's differentiated profile, potentially seeking collaborative partnerships that could assist in driving the clinical development of this autologous candidate. With that, let me now turn the call back to Filippo.
Filippo Petti: Thank you, Charlie. Turning to our financials. I'd just like to remind you all that our full financial details are available on the Celyad Oncology website in both French and in English. Our research and development expenses were EUR 10.0 million for the first half of 2021 compared to EUR 11.1 million for the first half of 2020. The EUR 1.1 million decrease was primarily driven by a decrease in the preclinical activities and clinical development expenses of our autologous AML and MDS programs. General and administrative expenses for the first half of 2021 were at EUR 4.8 million compared to EUR 4.8 million for the first half of 2020. An increase in insurance costs for the period were compensated by savings on travel and living expenses and a decrease in expenses associated with share-based payments related to the company's warrants plan. Net other income for the first half of 2021 was EUR 1.8 million compared to a net other income of EUR 1.8 million for the first half of 2020. Our net other income for the first half of 2021 was associated with grants received from the Walloon Region and from the Federal Belgium Institute of Health Insurance. Net loss for the first half of 2021 was EUR 14.9 million or EUR 1.02 per share compared to a net loss of EUR 16.6 million or EUR 1.19 per share for the same period in 2020. The decrease in the net loss was primarily due to a decrease in research and development expenses for the first half of 2021. Net cash used in operations, which excludes cash -- noncash effects, amounted to EUR 12.2 million for the first half of 2021 as compared to EUR 14.6 million for the first half of 2020. As of June 30, 2021, the company had a treasury position of approximately EUR 12 million or $14.3 million. During the first half of 2021, we raised proceeds of approximately EUR 8.1 million or $9.7 million from the sale of American Depository Shares or ADSs. Based on our current scope of activities, we estimate that our cash and cash equivalents, combined with the remaining access to the equity purchase agreement established with Lincoln Park Capital should be sufficient to fund operations and expenses and capital expenditure requirements into the end of third quarter of 2022. In closing, Celyad Oncology is more focused than ever towards our mission in developing innovative cell therapies against cancer. We have several key milestones that we expect to announce in the second half of 2021, including the initiation of the KEYNOTE-B79 Phase I trial in early fourth quarter of 2021. The study will evaluate our allogeneic CAR-T candidate, CYAD-101 with KEYTRUDA in advanced metastatic colorectal cancer patients with microsatellite-stable disease. In addition, we plan to report additional data from -- by year-end 2021 for the Phase I IMMUNICY-1 trial of CYAD-211 for relapsed/refractory multiple myeloma, additional data from the Phase I CYCLE-1 trial for CYAD-02 for the treatment of relapsed/refractory acute myeloid leukemia myelodysplastic syndromes by year-end 2021. And lastly, as we look into next year, we plan to submit an IND application in mid of next year for our recently announced IL-18 armored CAR-T program, CYAD-203, for the treatment of solid tumors.  And with that, I'll now turn the call over to the operator for questions. Operator?
Operator:  The first question comes from Olga Smolentseva with Bryan Garnier.
Olga Smolentseva: Firstly, with the next clinical update for 211, could we expect to see some additional maybe biomarker data? And could you remind us if you are planning to look at BCMA levels? And the second question on Q3. I'm curious if there are any data on IL-18 binding protein levels within the tumor microenvironment. And if you have considered using decoy-resistant form of IL-18?
Filippo Petti: Thank you for the questions. Maybe I'll turn over your CYAD-211 questions in the IMMUNICY-1 trial to Charlie and then perhaps on 203, David could jump in with regards to the IL-18 binding protein. Charlie?
Charlie Morris: Thanks, Filippo. Thanks for the question, Olga. I think what we should anticipate for the next clinical update is more focused around the 3 core things that we're looking for here, absence of Graft-versus-Host disease and tolerability, cell kinetics and cell expansion and evidence of clinical activity. We will do various amounts of biomarker work over time. But our major focus right now is on establishing the -- that we have an shRNA-based CAR-T platform. So I think our emphasis, our focus at this time is going to be more continuing to show that we can achieve all of the things that we want to from that CAR-T platform. David, do you want to take the 203 question?
David Gilham: Yes, certainly. I guess just a follow-up as well, Olga, we certainly do look at BCMA expression as well in biopsy samples in particular, when available. So just to complete the answer there. In terms of 203, I'm afraid you just broke up a little, at least on my line. Which form of violating were you asking about, Olga?
Olga Smolentseva: Yes. Sorry, I was asking about decoy-resistant form of IL-18.
David Gilham: In 
Olga Smolentseva: Basically that doesn't buy into binding protein.
Charlie Morris: Yes, yes. So we are avoiding that. So as you'd be aware, work that's been carried out with IL-18, either looking to use a type that avoids the binding protein or impacts the binding protein itself is associated with high toxicity. So the -- one of the key attractions of using the native form of IL-18 is the fact that the IL-18 binding protein we expect will protect against toxicity that is generally being seen with the armored CAR used to date, particularly IL-12, where there really are some significant issues associated with toxicity. But the point here is to have local expression. And so first and foremost, the IL-18 will be acting upon the CAR-T. And secondly, it's really an impact in the local tumor environment where the level of IL-18 binding protein is going to be much more variable. And so really, it's a matter of exploiting IL-18 binding protein for control or toxicity. And then asking the question whether the CAR-T cells will produce sufficient within the tumor environment to drive not only their own effector profile, but also impact the local tumor environment. So we're not looking to use a form that avoids IL-18 binding protein really for the toxicity questions.
Operator: The next question comes from Raju Prasad with William Blair.
Raju Prasad: With the CYAD-02 data upcoming at the end of the year, can you just give us some context over on what you're looking for in the program, obviously, with the shift to allogeneic with the platform potential there. I just wanted to hear your thoughts on how to kind of frame that data? And then I have one other one.
Filippo Petti: Yes. Thanks, Raju. Appreciate the question. Maybe I'll throw my first remarks out there and then turn it over to Charlie for some additional thoughts. But look, I think from the autologous AML program and franchise that we've had, both the legacy program, the current CYAD-02. I think we've always kind of steered towards our discussions with KOLs and what would be meaningful for patients with that -- with those indications, I should say. And really around 25%, 30% CR rate, I think, has been paramount. And thinking about having a duration of response there that goes out several months to us, that is going to be a key attribute to better assess the true potential of autologous CAR-T for the treatment of that disease. So I think we continue to lean on those thoughts, but let me hand it over to Charlie as well who can provide some additional context.
Charlie Morris: Thank you, Filippo. I mean, yes, so we continue to look for evidence of robust clinical activity. And as I said in my opening remarks, we will explore the idea of whether that is active enough to then discuss with potential collaborators whether there is a path forward. I think it's also important for us to continue to understand NKG2D as a target. NKG2D obviously, is a core element of where we will be going, not just with 101, which we'll continue to have, but it's also -- the targets involved in 2003 as well. So we -- there's still much that we can learn to assist the other programs as well. So I think we can take learnings from the autologous to the allogeneic. And if we're seeing robust activity, then we have an opportunity for discussions with potential partners.
Raju Prasad: And then and I wanted to get your -- also your thoughts on with the hemalignancy platform programs to -- on consolidation versus a redosing paradigm, and we're hearing more about consolidation regimens to push responses deeper in hemalignancies, in particular. I just want to get your thoughts on how you're looking at the redosing paradigm versus consolidation as the immunity trial progresses?
Filippo Petti: Charlie?
Charlie Morris: I think one of the major potential advantages for any allogeneic platform is that we do have the potential to do exactly what you're describing to redose with the aim to push further. And it's certainly something that we intend to explore in our hemalignancy programs as we go forward. I think the -- it's much more of a challenge, obviously, in the autologous space because of the degree of preparation at the patient level that's required, but with an off-the-shelf product, we can use it much more in a typical sort of biologic paradigm, and it's certainly one that we intend to look at. We can look at it both ways, but I think that redosing sort of almost a cyclical way is certainly something that we will explore over time.
David Gilham: May I add to that, Filippo?
Filippo Petti: Please go ahead, David. Thank you.
David Gilham: Yes. So I enjoyed your note earlier as well as looking at some redosing strategies. I think it comes down -- as Charlie was highlighting, I think allogeneic technology gives the opportunity to think -- to work in either situation. I would say in the consolidation, where we would consider giving doses at a time point later on and perhaps just cells on their own, that would probably require some further engineering of the yellow cells to consider avoiding the immune response and much more thinking about the transplant situation, much like the autologous CAR-T situation is used. One of the big advantages of the fact that allogeneic cells with the modifications they have to avoid GvHD, but not avoiding the host response is the fact that those cells persist for a very relatively short period of time, for weeks. And so that really does, I think, fits in with the potential of thinking about a redosing regimen over time. And as Charlie says, really think about this as a drug type paradigm, which, frankly, is just not really feasible in your autologous setting.
Operator: This concludes our question-and-answer segment. I would like to turn the conference back over to management for any closing remarks.
Filippo Petti: Great. Thank you, operator. I'd like to thank everyone for joining us today and certainly, your interest in Celyad Oncology. We remain steadfast in our mission to bring novel and innovative CAR-T therapies to cancer patients with unmet medical needs. And we look forward to speaking with you all again soon. Thank you, and have a great day.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.